Operator: Good day, everyone, and welcome to Socket Mobile, Inc. Q2 2025 Earnings Call. My name is Elvis, and I'll be your operator for today's call. Before we begin, I'd like to remind everyone that this conference call may contain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities and Exchange Act of 1934 as amended. Such forward-looking statements include, but are not limited to, statements regarding mobile data collection, mobile data collection products, including details on timing, distribution and market acceptance of products and statements predicting the trends, sales, market conditions and opportunities in the markets in which Socket Mobile sells its products. Such statements involve risks and uncertainties, and actual results could differ materially from the results anticipated in such forward- looking statements because of several factors, including, but not limited to, the risk that manufacture of Socket's products may be delayed or not rolled out as predicted due to technological, market or financial factors, including the availability of product components and necessary working capital; the risk that market acceptance and sales opportunities may not happen as anticipated; the risk that Socket's application partners and current distribution channels may choose not to distribute products or may be unsuccessful in doing so; the risk of acceptance of Socket's products in vertical application markets may not happen as anticipated as well as other risks described in Socket's most recent Form 10-K and 10-Q reports filed with the Securities and Exchange Commission. Socket does not undertake any obligation to update any such forward-looking statements. On the call with me today are Kevin Mills, Chief Executive Officer; Dave Holmes, Chief Business Officer; and Lynn Zhao, Chief Financial Officer. Now I'll turn the call over to Kevin Mills. Kevin, please go ahead.
Kevin J. Mills: Thank you, operator. Good afternoon, everyone, and thank you for joining us today. Our revenue for Q2 was $4 million, a decrease of 20% over Q2 2024. We recorded margins of 50%, a slight decrease from the margins of 51% in Q2 2024. Our operating loss was $700,000 compared to an operating loss of $500,000 in Q2 2024. Overall, Q2 was another difficult quarter. Revenue came in lower than expected as we saw weakness in both our domestic and international businesses. Uncertainty in the business environment has resulted in the delay or postponement of numerous projects. In addition, the level of general deployments seems to have slowed across the board. On the positive side, we did deliver our first XtremeScan products to a large industrial customer. And according to them, the deployment has been flawless, which is a very positive sign. Unfortunately, they have delayed a significant portion of the deployment to 2026. Dave will provide more color on the XtremeScan progress and opportunity in a few moments. As we believe the market will remain soft during the rest of 2025, we will have to continue to manage our expenses tightly. In Q2, our expenses were lower than in Q1, so we were able to record an EBITDA loss of just over $100,000, significantly better than the $481,000 EBITDA loss recorded in Q1. We will control costs and sustain investments in research and development and Apple sales-related opportunities. Most of the Apple- related opportunities are significant and even getting a few of them would have a significant long-term benefit. We understand that this will strain our resources in the short term and force us to manage our expenses accordingly. Therefore, our outlook has changed. We now expect to be EBITDA neutral rather than profitable in the second half of 2025. With that, I'll now turn the call over to Dave.
David A. Holmes: Thank you, Kevin, and good afternoon, everyone. As Kevin said today, I'd like to highlight a few of the milestones that we achieved in Q2. We have invested a lot in our expansion into the industrial scanning and handheld computing markets over the last 2 years. Those investments are starting to bear fruit. We're seeing a lot of interest from a variety of customers in warehousing and logistics, manufacturing, mining, oil and gas, energy and construction. Widespread testing is underway, and we've received purchase orders from multiple Fortune 50 companies at this point. As Kevin mentioned, the initial rollouts have gone exceptionally well. The ruggedized scanning market is large, and our entry into this space will help us diversify our business beyond retail. We expect the momentum in this space to continue building for us in the coming quarters and years. Our XtremeScan product line is comprised of 3 different configurations, XtremeScan case, the XtremeScan handheld and the XtremeScan pistol grip, all designed for iPhone. And now we are offering models with iPhone 16E inside, marking our entrance into the mobile handheld computing market. XtremeScan is designed to enable iPhones to withstand harsh industrial conditions, offering robust scanning capabilities with military-grade durability. This opens the door to new customer segments that demand the ultimate performance in the most difficult environments. And now we are starting to gain real traction in the ruggedized mobile handheld computing market. Our new product and technology investments will extend our reach and diversify our customer base. Ultimately, this will make us more sustainable and less dependent on retail as we become a more complete data capture company. With that, I'll turn it over to Lynn for more details on our financials. Lynn?
Lynn Zhao: Thanks, Dave, and good afternoon, everyone. Our revenue in Q2 decreased 20% year-over-year to $4 million, down from $5 million in the same quarter last year. The decrease reflects continued softness in customer demand and cautious purchasing behavior from our channel partners. Revenue remained roughly in line with Q1 levels. Gross margin for Q2 was 50%, down slightly from 51% in Q2 2024, but consistent with Q1 2025. The margin held steady despite the lower revenue, supported by ongoing cost control efforts, a favorable product mix and the use of lower-cost components in high-volume SKUs. Operating expenses for Q2 were $2.7 million compared to $3.1 million in the same quarter last year and $2.9 million in the previous quarter. The reduction was primarily driven by the cost control measures implemented by the management in anticipation of slower business activity. As a result, we reported an operating loss of $0.7 million for Q2 compared to a $0.5 million loss in Q2 2024, and a $0.9 million loss in Q1 2025. The sequential improvement reflects our efforts to align operating costs with current level -- current revenue levels even as top line performance remains challenged. Adjusted EBITDA for Q2 was a loss of $100,000 compared to positive EBITDA of $8,000 in Q2 last year and a loss of $480,000 in Q1. Diluted loss per share for the quarter was $0.10 compared to a loss of $0.08 in the same period last year and $0.13 in Q1 2025. Turning to our balance sheet. As of June 30, our cash balance was $2.6 million, supported by a closing of $1.5 million in convertible note financing in May. This compares to $1.7 million as of March 31, and $2.5 million as of December 31, 2024. Cash outflows during Q2 included $160,000 for operations and $140,000 in capital expenditure, primarily related to product tooling and software development. Inventory net of reserves was $4.8 million as of June 30, down from $5.3 million at the end of Q1 and $5 million at year-end 2024. This reduction reflects tighter inventory management practices and the proactive efforts to avoid excess stock in a slower demand environment. This wraps up our prepared remarks. Now I will hand the call over to operator for questions. Operator?
Operator: [Operator Instructions] It appears we have no questions at this time. Lynn, I'll turn things back over to you for any additional or closing remarks.
Lynn Zhao: Thank you, everyone, for attending today's call. We wish you a good afternoon. Thanks. Bye.
Operator: That concludes our meeting today. You may now disconnect.